Operator: Good afternoon, ladies and gentlemen. My name is Martina and I will be your conference operator today. At this time, I would like to welcome everyone to the Mettler-Toledo Second Quarter 2012 Earnings Call. [Operator Instructions] I would now like to turn the call over to Mary Finnegan. You may begin your conference.
Mary T. Finnegan: Thanks, Martina. Good evening, everyone. I'm Mary Finnegan, Treasurer and responsible for Investor Relations at Mettler-Toledo, and I'm happy to welcome you to the call. I'm joined today by Olivier Filliol, our CEO; and Bill Donnelly, our Chief Financial Officer. I want to cover just a couple of administrative matters. This call is being webcast and is available for replay on our website at www.mt.com. A copy of the press release and the presentation that we refer to on today's call is also available on our website. Let me summarize the Safe Harbor language, which is outlined on Page 1 of the presentation. Statements in this presentation, which are not historical facts, constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, levels of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see the discussion in our recent Form 8-K. All of the forward-looking statements are qualified in their entirety by reference to the factors discussed under the caption Factors Affecting our Future Operating Results and in the Business and Management's Discussion and Analysis of Financial Condition and Results of Operations section of our Form 10-K. One last item, on today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and differences between the non-GAAP financial measures and the most directly comparable GAAP measure is provided in the Form 8-K. I will now turn the call over to Olivier.
Olivier A. Filliol: Thank you, Mary. Good evening and I welcome you to the call which we are doing from Switzerland tonight. I will start with a summary of the quarter and then Bill will provide details of our financial results, and I will update the guidance. I will then provide an update on some of our growth initiatives. As always, we will have time for Q&A at the end. The highlights for the quarter are on Page 2 of the presentation. We are pleased with our local currency sales growth of 6% in the quarter. Market conditions were weaker than the last quarter, particularly in Europe. In addition, prior-year sales growth of 11% was very strong. We were pleased to achieve a 13% increase in adjusted EPS in the quarter. We do not expect market conditions to improve in the short term and have initiated appropriate cost control measures. While we are managing cost levels more closely, we will also continue to make strategic investments for future growth. This includes investing in emerging markets, our Spinnaker sales and marketing programs, new product development and our Blue Ocean program. With our strong focus on execution, I believe we can outgrow the market and continue to take market share. We will cover these points in more detail on this call. But let me turn it to Bill to provide more details on the second quarter results as well as guidance.
William P. Donnelly: Thanks, Olivier, and hello everybody. Let me start with additional details on sales which were $570.3 million in the quarter, an increase of 6% in local currency. On a U.S. dollar basis, sales increased by 2% in the quarter which included a negative 4% impact from currency. Turning to Page 3 of the presentation. We outline sales by geography. In the quarter, local currency sales increased by 6% in the Americas, 14% in Asia/Rest of World, while they declined by 2% in Europe. Acquisitions contributed 1% to total sales growth and contributed 2% to European sales growth. The next slide provides full year sales. For the 6 months, sales have increased by 6% in the Americas and 16% in Asia/Rest of World. Sales were flat in Europe for the period. Acquisitions contributed approximately 1.5% of sales growth in the first half and contributed 2% to Europe and 1% to the Americas for the 6 months On Slide #5 of the presentation, we outlined our sales by product area for the second quarter. In this quarter, lab sales grew by 8%, while industrial sales increased 6%. Food retailing declined by 6%. Acquisitions contributed 2% to industrial sales growth in the quarter, so our core product lines, lab and industrial, grew by 6% on an organic basis in the quarter. The next slide provides year-to-date sales growth by product area. Laboratory sales increased by 8%, industrial sales also increased by 8% and food retailing declined by 3% for the first half. Acquisitions contributed 3% to industrial sales growth. Now I'm turning to Slide 7 which shows the profit and loss statement. Let me walk you through the key items. Gross margins were 52.4% in the quarter, a 40-basis point decline from the prior year. We benefited from volume, pricing and currency, however, these benefits were more than offset by some unfavorable mix mostly within the industrial business and the fact that Europe was weaker than prior year and Europe, as we've commented last call, has the highest percentage of direct sales and therefore the highest margin within our regional mix. R&D amounted to $28 million, a decrease of 1% in local currency. SG&A amounted to $170 million, an increase of 3% in local currency. The increase was related to front-end investments largely in emerging markets, offset by lower variable compensation. Adjusted operating income amounted to $101.1 million, which represents a 7% increase over the prior-year amount of $94.5 million. Our operating margins were 17.7%, a 90-basis point increase over the prior-year level. Let me give you a couple of final comments about the P&L. Our amortization was $5.4 million in the quarter while interest expense was $5.7 million. Fully diluted shares were $32 million -- $32.0 million. Adjusted earnings per share was $2.15, a 13% increase over the prior-year reported amount of $1.90. We benefited from a lower tax rate in the quarter, which was partially offset by currency headwinds. On a reported basis, earnings per share was $1.93 as compared to $1.82 in the prior year. Reported EPS includes pretax restructuring charges of $7.8 million, which represents $0.18 per share. Given the current environment, we are enacting a series of cost control measures. These include the exit of certain product lines, transfer of functions to lower-cost countries, workforce reduction and rationalization of certain operations. We expect to complete these initiatives over the next 2 years. Total restructuring charges, including the amount recognized this quarter, will range between $20 million and $25 million, which is primarily for severance cost. We expect to reduce operating costs by approximately $40 million annually when these measures are completed. This means we will not get the full benefit until some time in 2014. The next Slide summarizes our results for the first half. Adjusted earnings per share was $3.80, a 14% increase over the prior-year amount of $3.34 per share. Now let's talk about cash flow. Free cash flow amounted to $69.3 million, on par with the prior year. DSO amounted to 41 days while ITO was 4.5x. We're pleased with both of these levels. For the first half of the year, free cash flow is up 16% over the prior year. Let me update you on the currency matters before I turn to guidance. As most of you know, our primary currency exposure is the Swiss franc versus the euro. Traditionally, these exposures have ranged between $150 million and $200 million, with our Swiss franc expenses typically higher than our European revenues. The combination of the decline in European revenues and the meaningful decline in the euro exchange rates corresponding to a significant increase in the Swiss franc exchange rate has led to our exposure being now comprised of $100 million of Swiss franc euro exposure and $85 million of Swiss franc U.S. dollar exposure. As most of you know, we have not hedged the Swiss franc euro historically given the operational nature of the exposure. Hedging cannot eliminate the risk for us but rather pushes it out to the future. Our philosophy has not changed in this. However, we felt it was prudent to remove some of that risk. As a reminder, the Swiss National Bank in September 2011 pegged the Swiss franc at 120 to the euro. Given uncertain -- increased uncertainties surrounding the euro, we have now locked-in the current forward Swiss franc-euro rate for the next 12 months in the majority of our exposure. While this will not eliminate our currency risk, it would provide us an adjustment period to correspondingly look at cost structure adjustments if the 120 peg was removed. We do not view this as an ongoing hedge program, but rather a program to eliminate event risk in the near term. Once a clear resolution is -- once a clear resolution for Europe is known, we would expect to remove that. Maybe one other background comment on it is that, given interest rate differentials between in the euro and Swiss franc, it was at a historically low cost in terms of being able to purchase this insurance. So now let me spend a minute on guidance. We are pleased with our results in the first half of the year but acknowledge there is greater uncertainty in our markets than there were 3 months ago. The global growth is slow, particularly in Europe, and we need to adjust sales expectations accordingly. As I mentioned earlier, we've initiated cost control measures throughout the organization. These include headcount reductions and reduced discretionary spending. It will also include longer-term projects, including some to reduce our Swiss franc cost structure. With that as a backdrop, let me provide some details. For the full year of 2012, we expect the local currency sales growth to be in the range of 3% to 5%. This compares to previous guidance of 5.5% to 7.5%. For the full year, acquisition growth represents approximately 50 basis points. With this top line reduction in the benefit of our cost initiatives, we now expect adjusted EPS to be in the range of $9 to $9.40, which represents a growth of approximately 8% to 12% over the prior year. Previously, we had expected adjusted EPS to be in the range of $9.20 to $9.50. We acknowledge that the range is wider than we typically provide, and this reflects wider sales guidance and greater uncertainty in the market today. For the third quarter, we would expect the local currency sales growth to be in the range of 0% to 4% growth with adjusted EPS in the range of $2.15 to $2.35, a growth of between 7% and 17%. In terms of the currency impact on sales, we would expect currency to reduce sales by approximately 6.5% in the third quarter and reduce sales by approximately 4% for the full year. This is based on current exchange rates. Okay, that covers my comments on guidance. And I now want to turn it back to Olivier.
Olivier A. Filliol: Thank you, Bill. Let me start with summary comments on the business conditions. Labs did well in the quarter with an 80% local currency sales growth, although with the previous year comparison was not as challenging as what we saw in the first quarter, and what we will face this quarter. In terms of product lines, Analytical Instruments, AutoChem and Process Analytics is very well. Balances and pipettes also have growth. We continue to benefit from our sales from marketing initiatives, pricing as well as good product pipeline. Industrial was up mid-single digits on an organic basis. Our core industrial business was up low-single digit, a good result given the 18% organic growth in the prior-year period. Product Inspection was up nicely against a strong prior year. Retail was down in the quarter with declines in all regions of the world. Now looking at the geographies. Europe was down 4% on an organic basis. This was weaker than we expected driven by core industrial and retail. We don't expect improvement in Europe in the third quarter. Americas was up 6% on an organic basis, a little better than we expected. We have good growth in both lab and industrial. Core industrial, which faced strong growth in the prior year, was up low-single digit. Product inspection have a good growth in quarter. We would expect sales in Americas to remain solid this quarter. Finally, Asia/Rest of World was up 14% in the quarter. A little better than we had expected. Lab and industrial both have double-digit growth. We expect sales growth in this region in the third quarter to be high-single digits to low-double digits. Let me also comment on the cost measures that Bill discussed. We are reducing headcounts, streamlining product categories and transferring activities to lower-cost countries. These options will make us even more cost competitive in the coming years. We will remain alert to changes in market conditions and we will take further actions if the environment weakens. That provides some context on how we view our business today. We believe we can continue to grow faster than our underlying markets, and execution of our growth initiatives is key to achieving this. Let me provide some examples of how we are positioned for growth. China has been an important driver of growth for many years. As we have spoken to you in the past, our businesses in China is more weighted to core industrial as compared to Mettler-Toledo's worldwide mix. We believe [indiscernible] will change our sales mix as China's economy further develops. We believe this is particularly true with respect to China's strategic intentions to its sciences and product quality in general and food safety specifically. With our broad offering, we are well positioned to capitalize on these dynamics. A great example is our product inspection business in China. As a reminder, our product inspection business provides solutions to the food producers and pharmaceutical companies to help them assure product's quality. We have the most extensive offering in the market from checkweighs, metal detectors, X-rays and most recently, Vision Inspection. While the clear market leader and the dynamics of this market are very positive, given concerns surrounding food safety and quality concerns with pharma industry. Product inspection represents approximately 17% of total group sales and enjoys strong operating margins. In China, we have a leading market position in product inspection, which represents less than 10% of China's sales as product inspection adoption by food producers is below the level of the West. We have the broadest offering in China and have recently launched our Vision business to this market. We are recognized for the food -- for the quality of our instruments and for our extensive regional coverage, with more than 30,000 services offices throughout China. This provides much better field service coverage as compared to any other competitor. Approximately 65% of our customers are food, 20% are pharma, with remainder, chemical and auto. There are 5 factors contributing to strong growth dynamics of this business in China. First, food and pharma industries continue to grow faster than overall GDP creating positive momentum. In particular, packaged foods enjoy accelerated growth as evolving lifestyles are creating more demand for convenient food options; second, while food safety regulations in China are more heavily weighted to chemical contamination, we expect a clear move to physical contaminants over time. Metal detectors are the excellent instruments, are the most important products of physical contamination detection; third, China has heightened focus on GMP, good manufacturing practices, which is also a driving growth for quality instruments; fourth, increasing which inflation is driving demand for automated solutions; and finally, market conditions are likely to remain positive given the continued evolution of the middle class and the increasing demand for higher quality products. We are strongly positioned with multinationals and large local Chinese companies. We're working to offer low-cost instruments and expand our proven segment marketing techniques to capture more share in the medium and small local Chinese entities. Although product inspection in China is a small portion of its business today, its growth will likely exceed that of our overall Chinese business. This is one example of how we can capitalize on the increasing focus of quality in China and the other emerging markets. We believe there are similar opportunities in other product categories such as process analytics, certain analytical instruments, and certain industrial quality control offering. Let me provide another example of how we are well positioned in each market to capture growth. Our Automated Chemistry group provides technology and software to translate bench scale chemistry into commercial processes. Bio pharma and chemical companies are under intense pressure to bring products off to market. They must create numerous opportunities and evaluate them quickly and eliminate poor candidates. We are the market leader in automated lab reactors and associated analytical tools, which analyze chemical reactions in the real-time. With this information, our solution to help increase our productivity, develop safe processes and ensure commercial processes, deliver higher yield at lower cost. Our principal customers are pharma and chemical companies. While pharma budgets are down, R&D spending is still significant. We also see big pharma continuing to decline was being replaced by mid-sized pharma, CRO's and generics, which will continue to take a bigger piece of the profit pool. The market and earnings for automated chemistry are very strong as we estimate almost 2/3 of potential users do not use any technology at all. Of the 1/3 that does use technology, 1/2 is in-house engineered solutions. With special small piece of the potential market penetrated, we believe there is a big opportunity to migrate these chemists and engineers to new technologies to improve productivity. Spinnaker-type marketing program are key to identifying and targeting this potential users. We recognize we need high-value marketing to make these contacts aware of our deep knowledge in this area of our solutions and to help them solve problems. Emerging markets also provide a significant opportunity for automated chemistry. It is estimated the life science total spend will grow at twice the level of the developed markets by 2020. We are very well positioned to capture this growth trend. We also see opportunities in other markets such as polymer, petroleum and petrochemicals. Finally, we have the largest service force in this market, which provide not only a competitive advantage but good growth opportunities as well. Product Inspection in China and our automated chemistry offering are just 2 examples of how we are positioned well in each growth markets. That concludes our prepared remarks, and I would like to ask the operator to open the lines for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jon Wood from Jefferies.
Jon Davis Wood - Jefferies & Company, Inc., Research Division: So Olivier, I would like to hear, it looks like you lowered your top line by 2.5 points local currency. I would love to hear specifically what drove that from a geographical perspective, as well as if you can from a product line perspective versus your last update?
Olivier A. Filliol: It's certainly a reflection of what we have seen already in the second quarter. And you heard us saying that Europe came in weaker than expected. We would certainly see an ongoing uncertainty about how Europe will develop. And we want to remain cautious with our expectations from the European market. I would also say the Americas, while we still see good momentum, we are a little bit more cautious for the rest of the year than we were during our last call. And what I look at to emerging markets in China and would also see that -- and a recovery the Chinese momentum like we all expect might take a little bit longer. So it's a combination of all of the 3 regions, but I would certainly emphasize the European market that is definitely weaker than we expected on the last call. So that's a geographic view. When we look at more from a business line, we would see food retailing certainly be weak outlook for us. And then when I look at core industrial, they are certainly also suffering from this economic uncertainty, and so I would also see that core industrial would be weaker. All of the businesses, I would expect similar to what we have seen year-to-date.
William P. Donnelly: I was going to maybe put a little bit of numbers to give you a feeling, Jon. So we probably think the lab business could be growing maybe 2% or 3% in the coming quarter, which certainly is a little bit less than that we have enjoyed the first part of the year. And then the industrial business will do a little bit better than that, maybe 4%, maybe 5%. The food retailing business though is going to be weaker than we expected. That could be as much as 10% down in the third quarter. And then geographically, it will slow up a little bit more in Europe so we probably would be at 5% to 10% decline in Europe. And in the Americas will be, similar to what we saw in the first half of the year, maybe a little bit less, a little bit less, a point or 2. And then we'll see the rate come down, we think somewhere around 10% or so for Asia/Rest of World.
Jon Davis Wood - Jefferies & Company, Inc., Research Division: That's great. Can you, Bill, call out China in the quarter and parse out the core industrial from the lab there?
William P. Donnelly: China in the quarter grew by 10%, and the lab businesses grew mid-teens and the industrial businesses grew around 10% or so. We actually had a large decline in retail. Retail was down high teens.
Operator: Your next question comes from the line of Jon Groberg from Macquarie Holdings.
Jonathan P. Groberg - Macquarie Research: So can you, Olivier -- can you maybe talk about just looking at 3Q, because if you take your midpoint of your guidance and total revenues, you expect to be down 5%, I'm just kind of just taking the midpoint roughly. But EPS to be up close to 10%? If not a little more than midpoint. Can you maybe just -- I know your little bit of currency benefit. It's where you've been in the third quarter. But can you maybe just talk about how you expect that to flow through the P&L in the third quarter?
Olivier A. Filliol: Okay. So just maybe I would be repeating some things that you said. But you're right, midpoint of the range at around 2% and we should have 6%, 6.5% impact due to exchange rates. So in terms of our gross profit margin, you'll see it relatively flat compared to what you saw a year ago, which from trained perspective, is a little bit better than what you saw the last couple of quarters where we had to decline. It could be 10 or 20 basis points one way or the other, but relatively flat. Our operating expenses you'll see in local currency, you won't see much growth in terms of operating expenses. In fact, you could even see a little bit of a decline on the SG&A line. And that reflects some of the things we've talked about in terms of cost measures.
Jonathan P. Groberg - Macquarie Research: Okay. That's helpful. And then, are you planning -- I remember last time when things slowed a little bit, you suspended doing the buybacks, are you still going forward with your buyback plan?
Olivier A. Filliol: No, no change in plans. This was an extraordinary situation. But at that time -- situation today looks very different.
William P. Donnelly: It had more to do with the financial markets than our business.
Jonathan P. Groberg - Macquarie Research: So no change today. You expect to use your free cash flow to buy back?
Olivier A. Filliol: Correct.
Jonathan P. Groberg - Macquarie Research: Okay. And then, one last one for me if I can. You mentioned, Olivier, you asked being a little bit more cautious. Is that just -- is that more from just what you read and what you see or are you starting maybe see a little bit of that come through an order and some kind of more from the ground and from the sales force or that is being cautious given from a macro perspective?
Olivier A. Filliol: It's definitely the latter one. Of course, we read also the newspaper. We also see in general that my numbers that indicate that. But if I look at -- if talk to our businesspeople, our few people in general, will we still see good momentum.
Operator: Your next question comes from the line of Dan Arias from UBS.
Daniel Arias - UBS Investment Bank, Research Division: On the cost actions and the margin improvement or but the margin efforts, can you just remind us how much of your manufacturing is now done in low-cost regions and maybe, comment on the ability to move production over there in a way that make sense?
Thomas E. Reinckens: So today we produce about 30% of our products we sell worldwide local countries particularly in China. And about 40% of our material purchase are coming from the low-cost countries. The measures that we are talking here is actually very broad-based. It is not just manufacture-related, it's also a sourcing of materials, that plays a role. And we're also looking at sourcing services more from local countries. So it's a wide range of activities and it's not just related to the production of products.
Daniel Arias - UBS Investment Bank, Research Division: Okay. And then I guess on the expenditures for Blue Ocean, how are the reductions in cost make you think about taking that program global? Is that something you're going to stay on course with or maybe do you slow those plans a little bit?
William P. Donnelly: I think in terms of our operating margin expansion over the medium to long term, that's one of our key enablers, and so we're going full steam ahead on the program.
Daniel Arias - UBS Investment Bank, Research Division: Okay. And now I guess maybe just one more question on pricing. Bill, I think the last time we talked about pricing and a lot of this maybe coming off this quarter. Is that something you saw and maybe just extend beyond lab and talk a bit about what you think you can do pricing wise for the rest of the year?
William P. Donnelly: So in the quarter, realized prices we estimated were up 270 basis points and so that's 260 now on a year-to-date basis. I would be surprised if that number didn't move up a little bit more the next couple of quarters again.
Operator: Your next question comes from the line Ross Muken from ISI Group.
Ross Muken - ISI Group Inc., Research Division: How should we think about sort of the pacing in some of these geographies where we saw the deceleration? I mean you look at the macro data and you mentioned PMI before we saw a pretty decent step down in June, and it's sort of -- it looks like it's continued a bit into July. How would you sort of characterize it particularly in more challenged parts of the business in terms of the magnitude of change and sort of the timing.
William P. Donnelly: I guess, first comment would be, Ross, that we would very much reflect a little bit of forward-looking view this combination looking at our leads. PMI kind of data, and what the guys in the field, are saying when we came up with things. We did have, in the course of the quarter, less order growth than we had sales growth. And that also kind of played into it, and that's probably one of the items that we contributed to things. Now if we look at actually regeneration numbers, I think were reasonably satisfied with what we see. So maybe a little bit less in some parts of the world, but if we look at those numbers globally, regeneration looks pretty good. And I think you got a sense from Olivier as well that our discussions with the field guys are again reasonably good now. That being said, we think what we propose this guidance is probably realistic assessment.
Daniel Arias - UBS Investment Bank, Research Division: And you felt like there was one part of the -- whether it's geographical or subsegment specific that you probably expect the largest variants from sort of corporate plan that it stands, where do you think, maybe in a more drill down level, we more likely to see things kind of come in above or below depending on sort of that trajectory through Q3 and Q4 just from a global demand perspective in terms of what you're seeing now in orders versus where the specs are?
Olivier A. Filliol: For my geographic standpoint, it's definitely Europe where we have seen a rough decline over the last few months and we certainly forecast that it's going to be staying very challenging. And within Europe, if I look at the business plans and particularly also food retail, where we have some comparison topics. But then secondly also that we see that orders have slowed down significantly and the second business line is certainly also more impacted this calling down [indiscernible].
Operator: Your next question comes from the line of Paul Knight from CLSA.
Paul R. Knight - Credit Agricole Securities (USA) Inc., Research Division: Just a follow up, Ross, on Europe. So I guess the laboratory's right side of the business is fairly resilient in European marketplace.
William P. Donnelly: As a reminder, we do a laboratory business. And I know you know this, but I think it helps the people listening to the question, it doesn't include just labs stuff sold into life sciences. And we have a lot of industrial customers that are buying the equipment as well as, chemical companies, for example, but food companies as well. And so, we would expect lab to be more resilient, but there is a meaningful portion of that laboratory business that's also going to industrial customers that has some similar dynamics to our industrial sales.
Paul R. Knight - Credit Agricole Securities (USA) Inc., Research Division: And laboratory was the highest organic growth rate in the quarter, Bill? What would be the product's newest highlight behind that?
William P. Donnelly: In terms of the laboratory business, processing analytics really did the best with the major product categories. Our automated chemistry and analytical instrument businesses both did quite well. What's maybe interesting, Paul, about those last 2 is, ticket price-wise. Those are our higher ticket price items. Now AutoChem, I think, is a business that we have that's just executing really well now. Good product cycle as well as a good penetration in some of their key accounts. The analytical instrument business largely benefits from a relatively one of the easiest comparison it has, and with the prior quarter is the second quarter, and I would say that explained it the most.
Paul R. Knight - Credit Agricole Securities (USA) Inc., Research Division: And then I guess looking back on Q1 gross margin, was item we all looked at in Q1, it seems like the sequential improvement in gross margin, mix is better in Q2 and I guess the ultimate question is it looks like China is improved on profitability as well. What would your thoughts be there?
William P. Donnelly: We would expect gross margins to improve trend-wise versus the prior year. In Q3, that will be driven by as I mentioned earlier, our pricing should add a little bit more in the course of the quarter, I think 4x is going to be marginally better. And then mix wise, I did -- it also could be, maybe not better than the prior year, but because I think we're still going to have a headwind in Europe, but at least within the industrial business, I think, some product categories would do better than others. The biggest headwind we have on gross margin now is the fact that our European business, which is the place where we have the highest percentage of direct sales as opposed to sales through distributors and therefore the highest gross profit margin is the weakest region.
Operator: Your next question comes from the line of Isaac Ro from Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Could you maybe comment on the China visibility that you have into the government funding source to -- I think we've talked your pacing of those dollars from the five-year plan and then also sort of the dynamic you're seeing in maybe tier-2 versus tier-1 cities. I think the tier-2 cities are sort of a new area of focus in the last year or so?
Olivier A. Filliol: So let me start. Maybe with first piece of funding. And what we have certainly seen is that this project, that they are less funded at this stage for 2 reasons. On one hand, the stimulus funding that we benefited over the last few years is definitely gone. That has one impact and the second one is we see that in this transition of leadership, many project on hold, people want to wait until the new leadership is really in place and the decision makers, the new decision makers are really confirming this project. I would, however, expect that this situation will rapidly improve and will definitely be helpful for us. When it comes to the new 5-year plan and how that can benefit from last, there are different initiatives in this 5-year plan are beneficial for us. It's more focused on signs, it's more focused on quality. It's also more focused on environmental topics where there will be demand for our product. And so in general, I would say this is beneficial. And so all in all, I think this change in leadership will have to be beneficial for us and should start to do yield already, improvements in the coming weeks.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Great. And then maybe on the financials. Bill, can you comment on how you feel about pricing power right now, especially for the back half of the year? And then on the share repurchase, did you guys give out -- how many shares you repurchased and [indiscernible] you might see a little bit more willingness to buy back more than you previously got into the back half if you got attractive prices?
William P. Donnelly: Okay. So first on pricing, I think, we -- the details on pricing look good. Win-loss reports look good. Price realization reports look good. So we feel pretty confident that we'll have a continued positive trend in the second half on pricing. Now in terms of the share repurchase program, as a reminder, we file a 10b-5 plan that allows us to purchase through blackout periods. The way that we execute that is we're purchasing fixed dollar amounts. And so that fixed dollar amount would therefore the number share repurchase will vary to a certain extent based on the stock price going up or down. In terms of us doing something more, there is -- that's something that we're disclosing at that time. At this time whether our board will consider that at some stage during the -- later in the year, that's possible, but I would say there's no certainty at this point.
Operator: Your next question comes from the line of Tycho Peterson from JPMorgan.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: First maybe just on the cost actions. I mean, how much of this is accelerating things you would have already been doing in terms of the transfer of product lines, and can you maybe comment on exiting product lines? You made that comment earlier. And I'm just also wondering, is it disproportionally biased to any of the businesses, any of the business segments?
William P. Donnelly: Okay. So in terms of exiting product lines, we do have a couple of areas that we did exit. They both fell -- they're relatively smaller product categories, I think it's not something that we need to further adjust guidance or something like that. There are product lines within industrial and within retail that we were focused on there. And in terms of geography, you can imagine there's a focus on Europe in general which has the biggest weakness. And to a certain extent, we've been talking to you guys for a while about us trying to, over the medium term, move our Swiss franc cost structure or reduce our Swiss franc cost structure over time. Now in terms of things we would do -- would've done otherwise, I think in some cases what we're doing reflects volume. But many other things you're correct are things that we would've done at some point over time but maybe look to accelerate it. To a certain extent, I would also highlight maybe that some of the things that we're able to do as part of the program are things that start to -- are enabled to a certain extent by some of the investments that we've been making in the Blue Ocean program as well that allow us more flexibility because we're on a common set of systems and data and processes that allow us to move things a little bit more nimbly than we might have in the past.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: And in terms of your comments on kind of the back half of the year, I mean you talked about expectations for lab to be up a little bit 2% to 3%. I think you said in the third quarter. Presumably, that's all U.S. or, I mean, in light of the funding environment, I guess what I'm wondering is are you projecting the U.S. academic market to be down here in the back half of the year?
William P. Donnelly: As you know, academic maybe compared to some of the other guys in this space is not as big a segment with the exception maybe of the pipette business. And in the pipette business, that's not one of the strong points. Although I would highlight we'll probably do better than most in that segment because it's an area where our market share has been higher in biotech and pharma. And so it's been getting a little bit more emphasis from us than we do actually see that trend wise, we would appear to be doing better than maybe competition in that particular sector. So but the feedback we get from the pipette guys is that it's not a particularly strong area right now. But we're happy. Actually, we have modest growth in the U.S. pipette business and I think compared to what I've seen with some other guys with similar product categories, that seems to be pretty good.
Olivier A. Filliol: Definitely, I would say, I think we expect this growth from the U.S., but the emerging markets would also be a contributor to the global macro. So it's not just the U.S.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: And then just last one, I guess, from a portfolio management standpoint. You talked about the product line divestures. I mean do you see other opportunities to -- for business divestitures? You've gotten rid of some of the food retail business a couple years ago, for example. And alternatively, just comment on how you're thinking about M&A in this environment.
Olivier A. Filliol: Nothing of particular size here. This product line streamlining that Bill discussed before and really just a relatively small product lines specific applications on what we did for the divestment of software business that we did in retail 2 years ago or so that was more sizeable and I don't see us doing anything in particular of that size in the near term. Actually, we feel very good about the growth of portfolio and the growth of franchise.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: And then from an M&A perspective, are you looking at doing the capital deployment a little bit more aggressively in the current environment?
William P. Donnelly: Prices really remains the same as we have now the last few years. We are focused on more adjacencies, close adjacencies that we yield good synergy potential on their typical sizes of $20 million to $50 million businesses. And we continue to screen the market that there's nothing in particular that I would see to be announced. I don't think that the market offers particularly good opportunities in this time. So I think we will really pursue a very similar strategy as we have done in the last few years on this one.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Okay. And then one last one and then I'll hop off. Can you comment on trends in July versus June just in terms of how much things deteriorated month-to-month?
William P. Donnelly: At this point, if I look at kind of order trend for the 2 months, I don't think we are looking at a materially different picture.
Operator: Your next question comes from the line of Derik De Bruin from Bank of America.
Derik De Bruin - BofA Merrill Lynch, Research Division: So maybe I'm being a little bit slow. But in the second quarter, you did 6% local currency growth and you grew earnings by 13%. In the third quarter, you're guiding to the midpoint of local currency at 2% and looking at 12% EPS growth. So I'm just -- with the restructuring as a currency, what's giving you the confidence that you can kind of support an equivalent level of growth with a lower volume basically coming through?
Olivier A. Filliol: It's almost completely explained by the cost measures we described and maybe to a smaller extent a little bit better margins.
Derik De Bruin - BofA Merrill Lynch, Research Division: That's fine. I just -- that's why we thought it was going to be answered. I just wanted to make sure I'm not being slow on this. And I guess when you look at the cost actions that you're taking, it sounds like things are going to be moving a little bit slower than they did last time in 2009 when you did it. Is that because you're doing more ongoing investment right now, I mean you've got things like Blue Ocean going on. Just could you talk about just how quickly you're moving and I guess how -- what you're doing now compared to what you did then?
William P. Donnelly: I think the sales numbers are -- our view of the market is different too. We're suggesting a 2% organic growth for the second half of the year as compared to, I guess, we had a 10% decline or something in 2009 and we were running, at some quarters we're in the mid-teens down. So I think it's very much that is the reflection at us. But we made investments in '09 in strategic areas and we're making investments now as well.
Operator: Your next question comes from the line of Sung Ji Nam from Cantor.
Sung Ji Nam - Cantor Fitzgerald & Co., Research Division: So just going back to emerging markets and specifically China, what percent of your business in China is project oriented?
William P. Donnelly: Well, the industrial business, which represents about 60% of sales or so has a meaningful amount of project to business. If I were to talk about big, big projects, maybe in normal cycle it might be as much as 15% of that sales, maybe even 20% in the really good times. That's part of the business that's probably we see the most. If we look, for example, and you guys can see us bit in the balance sheet, because we have less deferred revenue than we normally do, and that's almost completely related to China. Less big projects which have more of a deferred revenue mechanism as part of how you recognize things there.
Sung Ji Nam - Cantor Fitzgerald & Co., Research Division: Okay. And then in terms of maybe some of your relatively larger other emerging market regions like India, Brazil and Russia, could you comment on kind of what kind of trends you're seeing there and what your outlook may be? I know, India, for example, with the currency, you might be having some difficulties and things like, if could you comment on that?
Olivier A. Filliol: To maybe just frame it, China is actually really the biggest county in the emerging market mix. It's about half of our emerging market sales. And then it rapidly drops off to smaller numbers like India is in the range of 3% growth or 3% of total sales. And also Russia is actually even lower than India. So this becomes smaller numbers.
William P. Donnelly: India has actually performed well for us. Year to date, we had actually growth north 20%. And in India, we tried I feel is an excellent accomplishment by the team considering that the currency is actually a bit difficult situation for us in India. And India overall is certainly more challenging than it was previous years did very well there. If I look at other emerging markets also, South East Asia, for example, Korea very happy with all these numbers and what the team is doing. And also countries like Mexico. Eastern Europe was weak but had actually a tough previous year, and Brazil, we certainly also see the economy -- economic situation is more challenging than we had in the past. But all in all, I am very happy with all the emerging markets and many of them are actually performed much better than China and China was at 10% growth against a strong previous year, it did actually also well for us.
Sung Ji Nam - Cantor Fitzgerald & Co., Research Division: Okay. And then finally from me, could you maybe about the competitive landscape? Obviously very fragmented there. But just given our they kind of obviously similar challenges and is this a good opportunity for you, are you finding opportunities to take greater share in this environment?
Olivier A. Filliol: So when we talk about competitors, we have in the lab space mainly global competitors as when we talk about core industrial in particular. We face more local competitors. I would certainly see a situation where we have a competitive advantage that is particularly also beneficial in this more difficult economic environment. We are certainly very agile with our marketing programs and with our very strong direct sales approaches, we are closer to customer which is always good in this environment. I would clearly see that we continue to gain market share. I don't see that the big opportunity to change the competitive landscape, I think it is a more continues evolution here. I will -- overall programs that we have in place in terms of coming out with new products, implementing superior marketing programs, expanding our field force into one. These are all initiatives that help us continuously win market share and is not particularly focused in an economic cycle.
Operator: Your next question comes from the line of Richard Eastman from Robert W Baird.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Just a couple of things. Bill, Olivier, how did the service piece of the business perform relative to the product piece, against that local currency growth range?
William P. Donnelly: So our service business grew by 4% in the quarter and the product business grew a slightly more and then to the extent that we're seeing a change in our growth rate, we would probably expect a similar growth rate in service in the second half of the year and most of the client would relate to the product side of the business.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: I see. Okay. All right. And then, Olivier, your comments on Americas. I was just trying to maybe summarize what you were talking about. Is there a particular piece of the business, lab or industrial specifically that you're more or less concerned about, and is that from feedback from the sales force? Or is it just a general tone that you feel is weaker?
William P. Donnelly: It's a little bit what we see in the pipeline. And the 2 weaknesses or areas of slowdown that I would see is food retail has certainly had a slowdown and second one, is of course core industrial is always more exposed to changes in the momentum. Lab performed well for us and we would expect them to continue. Product Inspection had over a good second quarter and had exceptionally see good ongoing momentum there, particularly also driven around food safety that is a key topic around the world in particular also in the U.S.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. Okay. And then can I ask, given Mettler's manufacturing exposure to China, as we look at some of these product transfers, do we still consider China to be a low-cost region?
William P. Donnelly: Yes. Probably you're talking about particularly for direct labor people. Rick, you're often talking 1/10 of the price and our costs in material for our types of material often we would probably averaged 20% lower in some product and probably categorize [ph] even more
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. So we don't need to develop a different region, for instance, to serve the Eurozone?
Thomas E. Reinckens: No. What we need to realize, and of course, we experienced also weight inflation, but our productivity gains in our Chinese facilities are actually quite impressive, and there is a very strong focus of our team to continue on that path. We see productivity gains in production area, but we certainly see that across the whole value chain, and not the least also on the sale side, service side of your people. So the topic of cost increase in China is, of course, a topic but I feel we can offset that nicely through productivity gains.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just the last question. The $7.8 million of restructure that you took in this quarter. What would be maybe the anticipated benefit in the second half?
William P. Donnelly: Well, just maybe the key way in which you'll see it not all of that relates to our operating expenses. But I as I mentioned in the response to another question. You'll see a decline in our SG&A expenses in the second half in local currency.
Operator: [Operator Instructions] Your next question comes from the line of Greg Halter.
Gregory W. Halter - LJR Great Lakes Review: I'm not sure if I heard the number of shares that were repurchased in the quarter for 6 months.
William P. Donnelly: We repurchased 435,318.
Gregory W. Halter - LJR Great Lakes Review: All right. And given the change with the cost control measures, any change in your thoughts on capital spending for the year?
William P. Donnelly: I mean we're -- maybe I'd answer it in terms of cash flow. We do see that we'll probably do a little bit better on the cash flow side. I think we had guided to a 15% growth in free cash flow and we'll probably do a little bit better than that.
Gregory W. Halter - LJR Great Lakes Review: Okay. Looking at R&D, just wondering if there are any change in your thought process there, again given the cost control measures and what your expectations may be for 2013 as well?
Thomas E. Reinckens: R&D strategy is a very continuous one. It's not particularly impacted by these cost programs that we have in place. And we do R&D for so many different product lines and we have so have many new products that are coming in that you will see a little bit of quarterly changes that can be driven by peaks in certain product launches. But all in all, I would say the R&D pipeline as well as the R&D investment is quite a steady one.
William P. Donnelly: I would maybe add that one of our productivity gains that we get in R&D, Greg, is what I would describe as some kind of low-end R&D, where we're talking about drawings and stuff like that. We're doing more and more of that in low-cost countries or outsourcing, and that's giving us productivity gains with our western guidance and we've also invested the last couple of years in some programs and systems that allow us to work better on a global basis, PLM type of stuff. And we're starting to see some of the benefits from that as well.
Olivier A. Filliol: To build on what Bill said, we have expanded our software development capability out of India, which is complementing software development that we do in Switzerland. You can imagine that it's -- from a cost-cutting point, this very a beneficial to do it in India.
Gregory W. Halter - LJR Great Lakes Review: All right. And one last one for you. Given the implementation of the ERP, just wondered if you've run across any issues that may be -- being compounded by the situation in Europe and other parts of the country relative to the core businesses?
William P. Donnelly: No. Our Switzerland has been up and running the new system for quite some time. So not there. China has been up and running, as you know, since Q3 last year. And then we're targeting taking the U.S., the main part of the U.S. operations in the early part of next year. So there is not anything going on now that would, I would say is even operational challenge in this regard. I mean, this change management OpEx always with the new systems. And of course, we're enhancing it as well as we go along cause we want to get more and more out of it, but nothing that I would say is causing operational headaches.
Operator: Your next question comes from the line of Robert Goldman from CL King.
Robert M. Goldman - CL King & Associates, Inc.: A couple questions. You mentioned the $40 million of cost savings would fully experience in 2014. You gave us a little bit of feel for what might happen in 2012, but unless I missed it, I wasn't sure how 2013 comes out. So should we assume half the benefits in 2013 or just help us explain how to get from your zero cost saving to the $40 million?
William P. Donnelly: Over the time sequence?
Robert M. Goldman - CL King & Associates, Inc.: Right.
William P. Donnelly: Yes, I would say that we'll probably be in the run rate during the middle of '13 more than half probably closer to 3 quarters of the way to that target. And as we get farther and farther into it, we'll disclose to you guys how that's progressing. Hopefully we'll do it a little faster and hopefully we'll do a little more. But I think that the $40 million number it being readied by the early part of '14 is probably a realistic assumption at this stage.
Operator: There are no further questions in queue. If I could turn the call back to management for closing remarks.
Mary T. Finnegan: Thanks, Martina and thanks everyone for joining the call. Of course, if you have any questions or follow up, don't hesitate to give us a call. Thanks. Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.